Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Centerra Gold 2013 Third Quarter Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Thursday, October 31, 2013. I would now like to turn the conference over to John Pearson, Vice President of Investor Relations. Please go ahead sir.
John W. Pearson: Thank you, Tanya. Welcome to Centerra Gold’s 2013 third quarter conference call. Today’s conference call is open to all members of the investment community and to the media in listen-only mode. After management’s formal remarks, we will open the phone to questions. The operator will give the instructions for asking a question. Please note that all figures are in U.S. dollars unless otherwise noted. Joining me on today’s call is Ian Atkinson, President and CEO; Gordon Reid, Chief Operating Officer; Jeff Parr, Chief Financial Officer; and David Groves, Vice President, Global Exploration. Before we begin, I would like to caution everyone that certain statements made on this call may be forward-looking statements and as such are subject to known and unknown risks and uncertainties, which may cause actual results to differ. Also certain of the measures we will discuss today are non-GAAP measures, and I will refer you to our description of non-GAAP measures in the news release and MD&A. For a more detailed discussion of the material assumptions and risks and the uncertainties, please refer to our news release, the MD&A along with the unaudited interim condensed consolidated financial statements for the quarter ended September 30, 2013, which was issued last night and also to our other filings including our annual filings which can be found on SEDAR. And now I will turn the call over to Ian.
Ian Atkinson: Thank you, John and good morning everyone. Starting with our negotiations with the government of the Kyrgyz Republic, as you’re all aware Kyrgyz Parliament last week issued a decree rejecting the previously announced memorandum of understanding that we signed with the government on September 9. While the official version of the decree is not yet available, we understand that the decree instructs the government to continue negotiations with Centerra with the view to increasing the Kyrgyz Republic share in the joint venture to 67%. The decree requires that the government report back to Parliament by December 23 of this year. Despite the Parliament’s actions, the government and the Prime Minister actually continue to support the previously negotiated MoU, and we are continuing to work with them regarding the potential restructuring transaction to resolve all outstanding matters. However, as we have said before and continue to say to the government, any transaction must be fair to all Centerra’s shareholders. We disputed all of the allegations raised in the decree and continue to believe that the Kumtor Project Agreements are legal, valid, and enforceable obligations. As we’ve said before, the Kumtor Project Agreements were negotiated openly and transparently and were reviewed by the government and the Parliament with the subject of positive decision by the Kyrgyz Republic’s Constitutional Court and the legal opinion by the Kyrgyz Republic Ministry of Justice. In addition to that since they came into effect, certainly the Kyrgyz Republic has had significant benefit from them in the form of taxes and further investment. In the meantime, maintaining continuous mining operations have come [toward] (ph) remains a government priority. The mine is running very well and we are on track to meet our production targets in the fourth quarter, so operationally both Kumtor and Boroo performed well in the quarter, and the gold production at Boroo for the third quarter was better than expected, which has enabled us to increase our gold production guidance again for the year to 635,000 ounces to 685,000 ounces. We now expect Boroo to produce approximately 85,000 ounces for the year, and as I’ve already said Kumtor will have a strong quarter as we were mining in a high grade SB zone as planned. On the financial front, as we expected it was a weak quarter. We reported a net loss for the quarter of $1.8 million or $0.01 per share. Yesterday, we also announced our quarterly dividend of CAD0.04 per common share which at our current share price represents an annualized view of almost 4%. So with that I will now turn it over to David Groves to discuss our exploration results.
David A. Groves: Thank you, Ian and good morning everyone. Exploration activity during the quarter focused on our ongoing drilling programs at the Oksut project in Turkey and the ATO project in Mongolia.
 :
 : In Turkey at Öksüt project, we completed 28 infill drill holes in the Keltepe deposit, formally referred to as Ortacam North. Drilling results from Keltepe continued to support and improve the resource model. Some of the better results received from the infill holes include 2.7 grams per tonne gold over 154 meters, another 2.7 grams per tonne gold over 67 meters, 1.5 grams per tonne gold over a 108 meters, and 1.1 grams of tonne gold over 124 meters. A full set of upside drilling results for the quarter is available on our website. Results from these infill holes also expand the Keltepe deposit to the south and east where it remains open ended. These results are expected to have a positive impact on year-end resource estimates. Drilling continues at Öksüt with five drill rigs as do metallurgical, environmental, and technical studies. I will now turn it over to Gord Reid to talk about our operations.
.: In Turkey at Öksüt project, we completed 28 infill drill holes in the Keltepe deposit, formally referred to as Ortacam North. Drilling results from Keltepe continued to support and improve the resource model. Some of the better results received from the infill holes include 2.7 grams per tonne gold over 154 meters, another 2.7 grams per tonne gold over 67 meters, 1.5 grams per tonne gold over a 108 meters, and 1.1 grams of tonne gold over 124 meters. A full set of upside drilling results for the quarter is available on our website. Results from these infill holes also expand the Keltepe deposit to the south and east where it remains open ended. These results are expected to have a positive impact on year-end resource estimates. Drilling continues at Öksüt with five drill rigs as do metallurgical, environmental, and technical studies. I will now turn it over to Gord Reid to talk about our operations.
Gordon D. Reid: Thanks Dave. Both operations performed well during the quarter with recovered gold and unit cash cost substantially in line with our expectations. At Kumtor in September as planned, mining intersected the high-grade SB Zone ore in cut-back 15. Kumtor is on track to achieve the year-end gold production guidance of 550,000 to 600,000 ounces. Given that greater than 50% of Kumtor’s production is in the fourth quarter, any interruption to new production could have a significant impact on ounces poured, thus the wide range in guidance. During the third quarter, we received final regulatory approval for our revised 2013 annual mine plan, which includes management of waste-rock dumps. The revised plan allows for the placement of waste rock in the Sarytor Valley, the Davidov Valley, and the Lysi Valley. Kumtor is currently working in accordance with the revised plan. Movement of the Central Valley Waste Dump has slowed to levels consistent with the rate of movement stated in the 2012 Kumtor Technical Report. The Company continues to make progress in relocating and reconstructing certain infrastructure at Kumtor, potentially impacted by the Waste Dump movement and by the KS-13 Pit expansion. The ball mill ring gear was successfully rotated during the scheduled Kumtor mill shutdown in the August after having identified a number of cracks in the ring gear teeth during an inspection in June. The mill is currently operating at full capacity. Boroo, as Ian mentioned performed very well during the quarter, producing over 23,000 ounces of gold. During the quarter, we completed the scheduled maintenance of the heap leach liner, and the heap leach facility is back in full operation. The increase in gold production as compared to the third quarter of 2012 was mainly due to the resumption of activities at the heap leach operation, which contributed almost 11,000 ounces. Mill had reached average 1.04 grams per tonne with the recovery of 59%. We have increased our gold production guidance for the year at Boroo to 85,000 ounces from the previous guidance of 65,000 to 75,000 ounces. During the last quarter of the year, the Boroo mill is expected to process ore stockpiles with an average grade of 0.7 grams per tonne. Crushing and stacking at Boroo’s heap leach operations will be completed by the end of November. The heap leach operation will continue active leaching through to the end of 2014, when the operation will transition to a drain down and closer status. Now, I’d like to turn the call over to Jeff to provide a review of our financial performance.
Jeffrey S. Parr: Thanks Gord and good morning everyone. On a consolidated basis, our third quater revenue of $155 million reflects 181% increase in gold sales for the quarter compared to the same quarter of last year, reflecting increased production along with the 20% lower average realized gold price of $1,337 compared to $1,667 an ounce last year. During the quarter, we had a loss of $1.8 million or $0.01 per share which was in line with our expectations. In the quarter, we spent and accrued $16 million on sustaining capital, $8 million on growth projects, and $56 million on capitalized stripping. For 2013, our projection for capital expenditures excluding capital stripping is $101 million down from a $107 million projected last quarter. We are expecting to spend about $203 million in 2013 on capital stripping compared to $196 million in the prior quarter guidance. The company’s cash and investments balance fell from $316 million at the end of the second quarter to about $237 million as we consume some cash as expected; we’ve drawn $76 million on our credit facility, so our net tax position at the quarter end was $161 million. We’ve got good margins at current gold prices, and our cash balances have grown since the end of the quarter. We expect them to continue to grow significantly through to the end of the year. Even in this lower gold price environment, our balance sheet remains strong. Our unit costs are expected to decrease substantially in the fourth quarter with this significantly higher productions in Kumtor. Our forecast for all in pre-tax cash cost for the full year is reduced to $930 to $1000 an ounce compared to our prior guidance of $945 to $1040 an ounce. Our all in pre-tax cash cost includes all of our operational costs, capital stripping, sustaining in growth capital, and corporate costs which include G&A global exploration and CSR expenditures. As Ian mentioned, we’ve increased our annual production guidance for Boroo to 85,000 ounces which brings our consolidated production guidance to 635,000 ounce to 685,000 ounce range. And I will turn it back to Ian to wrap up.
Ian Atkinson: Thanks Jeff and then just a few comments in the summary. So, we’re continuing our discussions and working with the Kyrgyz government to resolve all of the outstanding concerns relating to the Kumtor project, and we’re working towards December 23 deadline to achieve an agreement that is fair to all the shareholders. As we have said, we started mining the high grade portion of the SB zone at Kumtor at the end of the third quarter as planned. So, we are on track to meet our production guidance for the year. We have revised our consolidated all in costs pre-tax for the year to $930 to $1000 per ounce which is down from our pervious guidance, and finally as you’ve seen in our news release that Dave Groves will be leaving Centerra due to personal reasons, I’d just like to thank -- take this opportunity to thank Dave for his contributions to the company and wish him the best. So with that, let’s open up the call for question. So operator, please give the instructions on the process for the question-and-answer session. Tanya can you give the process for asking question please? 
Operator: Yes. Thank you. (Operator Instructions) And our first question comes from the line of Botir Sharipov from HSBC. Please go ahead.
Botir Sharipov - HSBC: Congratulations actually on a pretty good quarter operationally, I have couple of questions on Kumtor, your average mining grade was about 2.78, I think and mill grade was 3.04 which pretty much implies that you drew some stockpiles that were pretty high grade, is that a right assumption and because we were thinking that due to the stockpile average grade was about more 2.2, 2.3 grams per ton.
Unidentified Company Representative: No, actually the mine is producing far more ore tonnes than the mill can process, so we’re building up stockpiles, so we’re selectively putting slightly higher grade to the mill and the lower grade goods going into stockpile for future periods.
Botir Sharipov - HSBC: Okay. And as far as the Q4 is concerned is that going to be mostly run a mine ore or you going to fix some stockpiles as well as Kumtor?
Unidentified Company Representative: No, it’s going to come right out of the pit, it should run a mine ore, it will be blended from stockpiles, but that again that’s just in mind.
Botir Sharipov - HSBC: Okay, and as far as the grades that you’re currently seeing at SB Zone, can you give us a little bit color on that?
Unidentified Company Representative: I’m not sure, what the question?
Unidentified Company Representative: I think maybe I mean we expect we’ve always said we would access the high grade portion of the SB zone, in the fourth quarter, and we have them against the same portion of the ore body that we’ve actually now mining for last four years, and unfortunately quite often in the fourth quarter. So the grades would be very similar to the same production periods that we had last year at 2012, 2011 wasn’t too bad, it made a fairly flat profile, but certainly 2009 and 2010 again were actually backend loaded, so similar grades to what we’ve seen in the past at the SB zone.
Botir Sharipov - HSBC: Okay. Thank you, and if I may, my last question is, we understand that you’re engaged in the government in I guess new negotiations now from a strategic point of view, what’s the companies, what’s the management view on eventually giving up more than 50% on Kumtor?
Unidentified Company Representative: So, as I said in my comments any transaction that we complete has to be fair to what our shareholders and actually that’s got be approved by our shareholders, so anything that we look at, that’s the benchmark test for it and that’s why we the MoUs that we signed was a 50/50 joint venture, we think is equitable to all parties, that’s all of our shareholders plus the Kyrgyz Republic. And I think it is something that we expect that we could our shareholders approval of it, and clearly moving to numbers that are 67% as indicated would involve other things that we’re going to change, but again at the end of the day the transaction would have to be fair and sustainable and approved by our shareholders. That’s why we signed and put the MoU forward because we think it meets all of the Kyrgyz Government’s large number of the Kyrgyz Government’s concerns that we raised in the state commission report and it is we think an equitable transaction or a concern and we do believe we’ll get the support that we need from our shareholders to move forward on that.
Botir Sharipov - HSBC: Okay, thank you so much.
Operator: Thank you. (Operator Instructions) And the next question comes from the line of Alec Kodatsky from CIBC. Please go ahead.
Alec Kodatsky – CIBC World Markets Inc.: Thanks, good morning. Just a couple of questions I guess with just to start with Kumtor, curious how you see the negotiation process playing out I think, it appears that both from your perspective and the Kyrgyz government perspective, do you like the deal that you have. So sort of trying to understand how when both sides already like the deal they have, you come back to renegotiate. So I’m just sort of curious what you might be looking at in terms of modifications and sort of the approach that you’re taking?
Ian Atkinson: 
, : So and Parliament has raised some issues in four days or five days of debate and we are looking at those issues and how we can resolve them going forward and continue negotiations and something developing or detailed agreements that I said the MOU right now from -- like financials standpoint represents a very equitable transaction for all shareholders, and other issues I think we can through negotiation as we always have find a way forward and that the basic business terms and financial and fairness have to be maintained in anything that we do. So we will be continuing discussions with the Prime Minister directly and his working group to help them and also help ourselves fully understand the issues raised by Parliament and try to find constructive solutions to those matters.
 : So and Parliament has raised some issues in four days or five days of debate and we are looking at those issues and how we can resolve them going forward and continue negotiations and something developing or detailed agreements that I said the MOU right now from -- like financials standpoint represents a very equitable transaction for all shareholders, and other issues I think we can through negotiation as we always have find a way forward and that the basic business terms and financial and fairness have to be maintained in anything that we do. So we will be continuing discussions with the Prime Minister directly and his working group to help them and also help ourselves fully understand the issues raised by Parliament and try to find constructive solutions to those matters.
. : So and Parliament has raised some issues in four days or five days of debate and we are looking at those issues and how we can resolve them going forward and continue negotiations and something developing or detailed agreements that I said the MOU right now from -- like financials standpoint represents a very equitable transaction for all shareholders, and other issues I think we can through negotiation as we always have find a way forward and that the basic business terms and financial and fairness have to be maintained in anything that we do. So we will be continuing discussions with the Prime Minister directly and his working group to help them and also help ourselves fully understand the issues raised by Parliament and try to find constructive solutions to those matters.
Alec Kodatsky – CIBC World Markets Inc.: Well, thanks Ian, and good luck.
Operator: Thank you, and the next question comes from the line of Trevor Turnbull from Scotia Bank. Please go ahead.
Trevor Turnbull – Scotia Bank: Yes, good morning, guys. I was just wondering about some of the language and the decree about coming up to December 23, if you haven't been able to renegotiate that they would recommend or seek to terminate the 2009 agreement. Is that something that would require further legislation or the Prime Minister to ultimately sign off on (inaudible)? Does he have the veto power if Parliament attempts to do that, kind of how would that play itself out?
Ian Atkinson: Trevor I mean that language actually is not really different from what has been in the past two decrees, one from February and then the one from June and it leads to it, it asks the government then to take steps to look at cancelling the agreements et cetera. In terms of what the government would do then it’s incumbent on the government then to respond to Parliament and with respect to that and I think the Prime Minister would have to take those – take that under consideration, determine what response he would put in front of Parliament and from the government with respect to how we want to handle that. The government clearly as an understanding of what the 2009 agreements are and their obligations and I think everyone’s aware that they have had independent financial and legal advisors working with them during this negotiation period, so they have discussed the options available to them, so I think the Prime Minister would then address Parliament based on that background that he has from the independent experts and advice Parliament appropriately. And what actions he’d have to take at the end of the day would be really dependent on what he can present to Parliament and then what Parliament actually directs him or instructs him to do finally.
Trevor Turnbull – Scotia Bank: Okay, and then I guess my other question has a little bit to do about kind of the last resort which would be if you needed to you always have the ability to proceed to like international arbitration, when you signed the 2009 agreement I know you went to a lot of trouble to kind of make that as air tight as it could be including taking the agreement to the constitutional court, which no longer exists in the form it did back to then anyway, what type of things when you come up with – when you conclude the negotiations at this time, are there anything is that such as taking it to a court that you would plan to do to preclude further. So that you won’t have to come back and renegotiate it in the future, I know you have always got the International Court of Arbitration kind of as your last resort but are there any other things you feel you can put in place to kind of protect yourself against the government wanting to revisit two years hence when there is a new group of legislators?
Ian Atkinson: Trevor I think there is two or three things that you know first I mean we’ve said many times that we are not going to renegotiate the 2009 agreements that any changes we are considering with this transaction the 2009 agreements remain in tact that includes the rights for arbitration and the fact that they are they were negotiated approved by Parliament et cetera so that is the first one, first key to it. The second I think is certainly with the current Prime Minister and government are very aware of the allegations made around previous sets of negotiations 2003, 2004, 2007 and 2009 and they alleged activities around them all of which we dispute as we clearly stated. So he has been running a very transparent process and he has brought in independent financial and legal advisors to ensure that again he is getting the best advice of the government is and Parliament is also receiving that advice. So that again Parliament cannot say didn’t know. He has invited Parliamentary members, members of the advisory counsel that was appointed and the cabinet. So that he has made the process as transparent as he can, so that they cannot be challenged going forward because it will be approved by the Parliament and the proposed by government then approved by Parliament once completed. He is trying to do within the new constitution that was put in place after the April 2010 revolutions and to bring in a Parliamentary republic rather than a presidential republic. And so pushing the decree through Parliament getting full approval is probably the best protection he can get for himself and ourselves, under their constitution.
Trevor Turnbull – Scotia Bank: Okay. And then maybe just one last question and that we read a lot about the United States cancelling their or not renewing their contract for the big Manas airfield there. Is that a material part contributed to the economy and is that kind of help to sharpen the focus of the government in terms of securing revenues?
Ian Atkinson: It certainly fairly significant part of the economy and Kyrgyz Republic particularly in Bishkek, I believe they are the second largest employer in the country. I can’t recall in terms of the taxes and the fees payable, but they are fairly significant or they’re significant contributor to the treasury of the Kyrgyz government, so we’ll have an impact. And of course they are well aware now that the U.S have actually found an alternative place for the air base and they publically announced that. So they likely will not be continuing negotiations. So they will have to build, the government will have to build that into the planning for 2014, which as you say. I think will sharpen their focus because again this year they obviously will come to our end as we are their largest tax payer in the country and the significant contributor and they felt the impact of the dropping gold price themselves, so they are learning that they have to be very careful when planning for the next year and build in some sensitivities for things and certainly removing the contribution of the air base will increase the sensitivity of Kumtor and the gold price on their revenue base.
Trevor Turnbull – Scotia Bank: Okay, well best of luck with that Ian, Thank you.
Ian Atkinson: Okay, Thank Trevor. 
Operator: (Operator Instructions) And we have no further at this time.
Ian Atkinson: At this time then we will thank everyone for joining us on the conference call and we’ll sign off here. If there are further questions, management is around, please give us call here in Toronto.